Operator: Good morning, my name is Brandy, and I will be your conference operator today. At this time, I would like to welcome everyone to ADP's First Quarter Fiscal 2012 Earnings Webcast. I would like to inform you that this conference is being recorded. [Operator Instructions] Thank you. I will now turn the conference over to Ms. Elena Charles, Vice President, Investor Relations. Please go ahead.
Elena Charles: Thank you. I am here today with Gary Butler, ADP's Chief Executive Officer; and Chris Reidy, ADP's Chief Financial Officer. Thank you for joining us for our First Quarter Fiscal 2012 Earnings Call and Webcast. Our slide presentation for today's call and webcast is available for you to print from the Investor Relations homepage of our website at adp.com. As a reminder, the quarterly history of revenue and pretax earnings for reportable segments have been posted to the IR section of our website. These schedules have been updated to include the first quarter of fiscal 2012 and all prior periods have been updated to reflect 2012 budgeted foreign exchange rates. During today's conference call, we will make some forward-looking statements that refer to future events and as such, involve some risks, and these are discussed on Page 2 of the slide presentation and in our periodic filings with the SEC. With that, I'll now turn the call over to Gary for his opening remarks.
Gary C. Butler: Thank you, Elena. Good morning, everybody, and thank you for joining us. Let me begin today's call with some opening remarks about our first quarter results, then I'll turn the call over to our CFO, Chris Reidy, who will take you through the detailed results, after which I'll return to provide you with our detailed fiscal 2012 forecast, and before we take your questions, I'll provide some brief concluding remarks. Let's turn to start at Slide 4. As you read in this morning's press release, ADP reported very solid results for the first quarter of fiscal '12. I am quite pleased with the strong revenue growth during the quarter, which resulted from both strong new business sales and recent acquisition. Additionally, all of our key business metrics continued to trend positively. New business sales, client revenue retention, the number of employees on our clients' payrolls and client balances all increased during the quarter. Let me start with sales. Employer Services and PEO Services new business sales grew 8% year-over-year. We also continued to invest in additional product innovation in expansion of the sales force and in expanding our client service capability, all of which are having a very positive impact on new business sales, resulting and driving good organic revenue growth. Small Business Services, the PEO, Major Account Services and our Added Value Services, as well as GlobalView all achieved double-digit sales growth in the quarter. Sales in National Accounts were a bit soft this quarter, which was not entirely unexpected given the economic uncertainty of recent months since we made our original forecast. On the positive side for the large positive National Accounts marketplace, we launched our new, very impressive Vantage HCM solution on schedule earlier this month at the HR Tech Conference in Las Vegas. The response from our clients, our prospects and our industry analysts have been quite positive, and we expect that this new cloud-based full HR solution will contribute nicely to future growth in this market. Sales in our Employer Services and International business were a bit below our expectation. We believe that this was in part due to a particularly strong fourth quarter sales growth, specifically in Canada and in Europe, but also from the less and robust global economic outlook especially in the Eurozone. Moving next to retention, our client revenue retention improved once again in the quarter after improving over 1 full point for fiscal 2011. Growth in our U.S. pays per control, which is our same-store sales employment metric were quite healthy at 2.7% up in the quarter. Average work site employee paid in the PEO grew an impressive 13% in the quarter, and our client funds balance growth continued to exceed our expectations, growing 10% for the first quarter. Moving on to Dealer, the automotive landscape in North America appears to be quite stable at this point, and a recent estimate of the annual selling rate for U.S. autos for calendar '11 is showing modest growth above calendar 2010. Dealer Services new business bookings were a strong double-digit in the first quarter and Dealer Services worldwide revenue and client site retention increased for the quarter, also after a very strong improvement last fiscal year. Before I turn the call over to Chris, I also want to say that we are quite pleased to have acquired a new company called The RightThing earlier this month. The RightThing is the market leader in what is called the RPO space or recruitment process outsourcing solution based and targeted at large companies with over 15,000 employees and considerably expands our HR BPO solution set or COS here in National Accounts in the U.S. or large enterprise account. With that, let me turn it over to Chris to provide the financial highlights and the updated full year forecast for our client funds investment strategy.
Christopher R. Reidy: Thanks, Gary, and good morning, everyone. Let's turn to Slide 5. We're pleased that total revenues increased 13% to $2.5 billion, 10% organically, in the quarter, assisted 2 percentage points from favorable foreign exchange rates. Employer Services grew total revenues 9% and Dealer grew 18%, both including acquisitions, and the PEO grew 17%. When you look at organic growth by reportable segment, Employer Services organic revenue growth was 7% and PEO was 17% and Dealer was 6% in the quarter. I want to take a moment and point out that we are no longer providing the payroll-beyond payroll split for Employer Services revenue growth in the U.S. As we have been communicating with you, our bundled solutions include both payroll and beyond payroll. As sales of the bundled solutions continue to grow, which is a good thing, a split between payroll and beyond payroll becomes more difficult to track. Instead, we believe it's more meaningful to update you on the drivers of the growth. Here in the U.S., HR services and Major Accounts, Tax Credit Services, Time & Labor management, RUN and ASO, our BPO offering at the low end of the market, all contributed to revenue growth during the first quarter. Our International businesses and Employer Services also contributed to revenue growth for the quarter. As Gary mentioned earlier, the continued positive trending of our key business metrics contributed to revenue growth as well. Very importantly, after strong increases last fiscal year, client revenue retention once again increased for ES, PEO and Dealer Services. Pays per control and Employee Services in the U.S. increased 2.7%. All geographies across the U.S. again showed increases, led this quarter by the central region, as well as Northern California, and the Texas-Oklahoma areas. Our clients represent a wide variety of industries and the pay growth in most continue to be positive with the exception of public administration. It's also noteworthy that same-store sales -- same-store pays across Europe are not declining, but have flattened out for the first time in about 3 years, and PEO average work site employees paid increased 13%. We continue to see a positive impact on revenues from solid new business sales growth. Growth in average client fund balances increased 10% for the quarter, driven by new client growth, especially in Small Business Services, growth in standalone tax filing, increased pays per control, higher wage growth and increased state unemployment insurance effect. Now let's turn to Slide 6 and continue with the highlights for the quarter. Pretax earnings were up 5% and included 1 point of growth from favorable foreign exchange rates. ADP's total pretax margin declined 140 basis points in the quarter, primarily resulting from a decline in high margin client interest revenues due to a lower yield on the balances. The decline in the net impact from the client fund investment strategy resulted in a drag of 85 basis points on ADP's pretax margin. Additionally, there was a drag of about 40 basis points from last year's acquisition. As we close several transactions throughout last fiscal year, the year-over-year impact declines as we progress through fiscal 2012. It's also worth noting that these acquisitions are positive contributors to pretax earnings. I also want to point out that ADP's effective tax rate of 34.1% was lower than a year ago due to the expiration of certain statute of limitation, final resolution of certain tax matters and a favorable mix of earnings between jurisdictions. We don't anticipate the tax rate will continue at this lower rate for the full year. Diluted earnings per share from continuing operations increased 9% to $0.61 a share. We repurchased 5.9 million ADP shares, fiscal year-to-date for a total cost of about $280 million. Our cash and marketable securities position was strong at $1.4 billion at the end of the first quarter. Now let's turn to Slide 7, and I'll take you through the updated forecast on the client fund investment strategy and support the overall ADP forecast that Gary will take you through in a few moments. Before I get into discussing the detailed forecast, I'd like to update you on the credit quality of the portfolio and what we are seeing in the marketplace regarding the current fixed income investment landscape. At September 30, over 85% of our fixed income portfolio is invested in AAA, AA rated securities, consistent with the past 6 quarters. Fully consistent with our client funds portfolio objectives of safety, liquidity and diversification, we were again able to take advantage of the supply of new investment grade corporate fixed income securities and add more corporate funds to our portfolio. In addition, as was also the case last quarter, yield curve continued to present greater opportunities at the longer end of the maturity curve, both the extended and long portfolios. Duration of the portfolio increased slightly to 3.1 years at the end of the first quarter. Since we do not believe it is possible to accurately predict future interest rates, the shape of the yield curve or the new bond issuance behavior of corporations, we continue to base our interest assumptions in our forecast on Fed Funds, futures contracts, the forward yield curves and 3.5 to 5-year U.S. government agency. Now to the fiscal 2012 forecast. This slide summarizes the anticipated pretax earnings impact of the extended investment strategy for the client funds investment portfolio for fiscal 2012, and it is important to keep in mind that 15% to 20% of the investments are subject to reinvestment risk each year. We anticipate growth in average client fund balances of 7% to 8%. We anticipate that growth in fiscal 2012 will come from the same places we grew in fiscal 2011, wages, state unemployment, insurance, net pay, but at more moderate levels. We do, however, anticipate higher growth from new business sales and improved retention. It's also important to keep in mind that average client balances growth was very strong than last year's third and fourth quarters in large part due to the January 1, 2011, increases, state unemployment tax rates, which we do not expect to recur to the same extent this year. Therefore, we anticipate tougher balance growth comparisons as we progress through this fiscal year. We anticipate a yield on the client fund portfolio of 2.7% to 2.8%, down 40 to 50 basis points from fiscal 2011. We anticipate a year-to-year decline of $40 million to $50 million in client fund interest as the anticipated growth in balances is expected to be more than offset by the lower interest yield. Looking now at the right -- lower right of the chart, anticipated decline in pretax earnings of $45 million to $55 million for fiscal 2012 as the benefit of growing average balances is expected to be outweighed by lower interest rates. For fiscal 2012, we anticipate a decline of about 50 basis points from fiscal 2011's overall yield of 3.6% from the net impact of this strategy. Now I'll turn it back to Gary to take you through the remainder of the forecast for fiscal 2012.
Gary C. Butler: I'm now on Slide 8, titled FY '12 Guidance. Thank you, Chris. Since we've provided our initial fiscal 2012 forecast back in July, interest rates have obviously declined and the economic environment had certainly become more uncertain. However, we are confirming our total ADP fiscal 2012 revenues and earnings per share forecast. We continue to anticipate total revenue growth of 7% to 9% and 8% to 10% growth in diluted earnings per share compared to last year's $2.52. As is our normal practice, no further share backs are contemplated in the forecast beyond anticipated dilution related to employee benefit plan, though it is still clearly our intent to continue to return excess cash to our shareholders, obviously depending upon market condition. As I mentioned a month ago, interest rates had declined since we've provided our initial forecast and we do anticipate a decline of $45 million to $55 million, as Chris mentioned, in pretax earnings for a drag of about 80 to 100 basis points related to the client funds investment strategy that Chris just took you through. Before we move on to the business segment forecast, I want to spend a moment on foreign exchange. We do not anticipate that the first quarter's favorable foreign exchange rate will continue beyond this quarter, but rather, we anticipated ending up about neutral for the full year. Just to remind all of you, the euro today is just under $1.40, but was well under $1.30 early in fiscal 2011 and increased to over $1.40 towards the end of the year. Let's now turn to Slide 9 for the segment update. For Employer Services, we anticipate revenue growth of about 7%. This is compared with our prior forecast for 6% to 7% growth. Mainly, the uptick is as a result of acquisitions closed this fiscal year. We are currently forecasting pretax margin expansion of about 50 basis points. This is slightly lower than our prior forecast of at least 50 basis points, also due to the impact of acquisitions made this fiscal year. We anticipate an increase in our pays per control metric in the U.S. of about 2%. This is compared with our prior estimate of a 1% to 2% increase. We do anticipate about 17% revenue growth for PEO Services. Our prior forecast was for 15% to 17% revenue growth. We do continue to anticipate that the pretax margin in the PEO to be about flat for fiscal '11. We do continue to anticipate 8% to 10% growth in the annual dollar sales value of ES and PEO worldwide. This is up from the nearly $1.1 billion sold in fiscal '11. And for Dealer Services, we anticipate no change to our prior forecast or 8% to 9% revenue growth, with pretax margin expansion of about 50 basis points. So as we turn to Slide 10, I'd like to leave you with a few closing remarks before we open it up with your questions. Obviously, with the strong results for the quarter, we are very pleased with the outcome. Revenues are growing nicely from not only good execution in growing new business sales and improved retention, but also from the acquisitions that complement our core solution. Trends in our key business metrics continue to be positive across the board. Our product breadth has never been better with RUN for small business, Workforce Now for midsized company and the newly launched Vantage HCM for larger companies here in the U.S. We obviously continue to be quite pleased with GlobalView and Streamline, internationally. Our Drive solution here in the U.S. is doing great for our Dealer Services clients, and our Mobile Solutions across all of our applications are having a big impact on the market. The strategic acquisitions we made during the last year in both ES and Dealer have positively impacted our revenue growth and will continue to enhance future organic revenue. The acquisition environment today is quite good and we will continue to pursue tuck-in acquisitions that broaden our solutions set, underscoring ADP's commitment as a leading provider in the markets we serve. Our cash position is strong, and we remain committed to returning excess cash to our shareholders, through increased dividend and share buybacks. ADP's AAA credit rating also reflects the strength of our balance sheet and the financial stability of the business model. Make no mistake, we are focused on growing the business and I remain optimistic about our growth opportunity. Now I'll be pleased to turn it back over to the operator and we'll take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Julio Quinteros with Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: So the resilience of the business, I mean, obviously, really shines through here, as far as the current environment and macro backdrop is concerned. So I can't complain about any part of that, but as always, I think we would like to see more, and so I'm just wondering, as we go through fiscal 2012, what could be the key drivers that could result in acceleration from current expectations as we think about the Employer Services business in particular. Where would be the biggest puts and takes to drive further acceleration relative to the current growth forecast, if you will?
Gary C. Butler: Well, the two basic things that what we talk about the most which are -- would clearly be over-performance in sales beyond our plan, and today, we're running a little bit ahead of our plan on the retention side, so things are doing quite well. Clearly, interest rates are not helping us a lot. In fact, it has become a larger drag this year than what we anticipated early in the year. So as we look at maintaining our forecast, which we just did and upping it in a number of places, we feel pretty good about the core sales and retention execution in our new products, overcoming the drag that we did not anticipate some 4 or 5 months ago.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Got it. And just lastly, on the International side, can you just go back to your expectations for International as you think about that context of your overall performance?
Gary C. Butler: Well, the International business is growing double digits in terms of revenue. Their margins and bottom line are up double digits as well. We had a very strong fourth quarter in International despite seeing a little bit of softness this year. Their retention rate was up for the first quarter. I think maybe 0.5 point or 0.3 point or something like that. So despite what's going on in Europe, the business continues to clock along at a pretty good pace.
Christopher R. Reidy: I think, as we mentioned as well, the pace went flat for the first time for years, which is counterintuitive to what you see going on in Europe but that's what we're seeing in the pace area.
Operator: Your next question comes from the line of David Togut with Evercore Partners.
David Togut - Evercore Partners Inc., Research Division: Gary, when do you expect Vantage HCM to become material to orders for ES?
Gary C. Butler: Well, I mean, we just launched it and we just brought in the entire sales force for a full week's worth of not only training of a new product, but further training them on HR and benefits and performance and the other things that are included into that release. So our prospective backlog is in the early stages, but it's growing fairly well. It's too early to declare victory, but I would hope that it would make a difference, particularly as we go into the third and certainly the fourth quarter of this fiscal year.
David Togut - Evercore Partners Inc., Research Division: And looking at the target markets for the product and the size of the product, what's the anticipated time to convert a Vantage HCM order into revenue?
Gary C. Butler: It's about 9 months. I think the beauty of Vantage -- I mean, if you're really in a hurry, you can get it done in 6 months, if you're not too big and too complex, but I think, typically, you think about if you're selling it in the first or second quarter of next calendar, you'd be thinking about a January 13, kind of start. The beauty of HCM or Vantage is that we expect the number of applications per new booking to expand because it's a fully bundled one database, one user interface product that includes payroll, HR, benefits, time and labor, and our new performance and succession modules. So it should be a bigger bundle even though it will be priced at a little bit lower than our old standalone products, but we do expect the revenue per client to be bigger. So we're actually quite excited about it. It's getting great reviews from the analyst community, and we think it's going to do great.
David Togut - Evercore Partners Inc., Research Division: Just finally, looking at the forward yield curve, Chris, and your principal maturities, what is your anticipated tax filing float income for fiscal '13?
Gary C. Butler: We just went fiscal '12. That's not a good idea, but it was a good try, Dave.
Christopher R. Reidy: That was a great try. If you go back to what I showed in May, David, you'll see that it's a combination of a number of things: one is what your expect interest rates do; and secondly, what do you expect balance growth today. And so -- go back to that schedule, I think we gave you enough to play with there. I'll be updating that later this year, as I always do, but it's still a little premature, and as we've seen over the last quarter or even over the last 6 months, the volatility of interest rates have been very high. From the last time we gave guidance, as Gary said, interest rates have changed, but then in the last month, it bounced back a little bit. So it's a little too early to call that one.
Operator: Your next question comes from the line of Bryan Keane with Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I wanted to ask about, Gary, your comments on the press release about seeing some economic weakness over in recent months. I guess, what exactly are you referring to in the last couple of months that you've seen that's been a little bit softer?
Gary C. Butler: I think it's just the uncertainty around the economy and the U.S. and the Eurozone and the uncertainty in the political environment in Washington. I think the good news for us is that, particularly in the low end of the market and the middle part of the market, it's kind of business as usual and people are just continuing to buy systems and move ahead. On the high end of the market, because of the, I think, global uncertainty, we're seeing more reluctance to commit to long-term solutions at the high end of the market even though we had a pretty reasonable fourth quarter in sales in the high end of the market, but there was a lot of foolishness going on in Washington and in Europe, particularly in July and August. It seems to have abated a little bit over the last 30 days. It's really kind of interesting for us because -- it's funny, Chris and I were having this conversation earlier. Our pays per control were up 2.7%. We're up over 2% last year despite all of this, and Europe actually is flattening out in terms of pays per control after shrinking for the last couple of years. So it kind of says, businesses are continuing to go forward, and actually, if you look at our pays per control in the U.S., almost every sector, including manufacturing, construction, with the exception of public administration, state and local government, our pays per control were up 1.5%, 2.5% depending on the category. So it's a little bit of an enigma, and I certainly think that the new product launch in National Accounts is going to help offset some of that in the remaining 3 quarters.
Bryan Keane - Deutsche Bank AG, Research Division: Yes. I want to ask about National Accounts. You said it was soft. Was it actually negative in the quarter? And then, what does the pipeline look like for national sales? Does it look like that will rebound starting in the second quarter?
Gary C. Butler: Yes, we're -- it was down slightly. It wasn't a huge thing. They had a pretty good fourth quarter, and sometimes, when you have big deals particularly in National Accounts and GlobalView, those things can swing quarter-to-quarter, but clearly, for the last year, 1.5 years, our National Accounts sales have been less robust than our other sales across the entire category. So we are thinking that Vantage HCM is going to be a big help, and obviously, the compares get a little easier as we go forward.
Bryan Keane - Deutsche Bank AG, Research Division: Okay, and just last question, Chris, on pretax margins. They were down to 140 basis points. A lot of that was lower yield on balances and then the acquisitions. Anything else in there to think about that dragged down pretax margin? Because margins would've still been down slightly even given those 2 factors.
Christopher R. Reidy: Yes, it's when you look at it quarterly then if you look at the trends of the business over the last couple of years, as we make investments throughout last year, which we talked about throughout the year, then the first quarter becomes the rollover. It's a little bit bigger. What I would focus you on is our guidance for the full year at the ADP level. 7 to 9 on the top and 8 to 10 on the bottom implies kind of a flattish ADP margin given the tax rate is relatively flat and there's only a small lift from share repurchase. So that's flattish despite 80 to 100 basis points of interest rate drag and some drag from acquisitions. So that's the real thing to focus on in terms of the margin. The first quarter is a bit of an anomaly because of the grow over from investment last year.
Operator: [Operator Instructions] Your next question comes from the line of Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research: Gary, you said in your opening remarks that the environment is very good for acquisition, and I'm wondering if that translates to the very good meaning, you have a lot of choices right now, a lot of companies for sale? Or is that also meaning that the prices have come down and that will result in maybe more acquisition closures for you?
Gary C. Butler: Well, I think I wouldn't use the term "prices have come down." I would really say that the prices are reasonable where you can make them work and when you put on a business case and you look for 15% return on your investment. So the pricing is reasonable and I think a lot of people think the current environment is going to be this way for a little while, and so they're not holding out for the big blue sky kind of thing and -- plus our scope of products, particularly on the high end of the market and as we move into other areas like AdvancedMD and International, we just have more choices and more candidates, both that we find ourselves as well as surface through other processes.
Kartik Mehta - Northcoast Research: And then Gary, you guys have done an excellent job rolling out some new products and I wanted to kind of focus on the small business market and your thoughts on where you think of the biggest competitive advantages, product-wise, on the small business market?
Gary C. Butler: Well, RUN, it's really -- I'd put it in 2 or 3 different categories. First of all, it's the realtime payroll engine fully in the cloud, so anytime, anywhere, a second or 2 to run the whole payroll. The whole user interface is very intuitive, and I think I mentioned in one of our earlier calls that historically, with our EasyPay product, 70% of our clients call the payroll in. With RUN, which is now approaching over 100,000 live clients, only 30% feel the need to call it in. It's so intuitive, they'd rather just input it and get the feedback. It's also making us eliminating a lot of errors, because when you can run the payroll over many times as you like at the same price and it's easy to do, it gives you all of your tax and impound information. It just takes a lot of errors out of the process and almost totally eliminate reruns for that kind of category. We've also been very pleased with the CPA acceptance of this product. We're offering it also on a wholesale model, where the CPA can actually install their own clients and provide first level support to their clients, and it's got the security and the automatic feeds, the general ledger for write-up, that allows a CPA to do everything for 20, 30, 40 accounts in this category. So we're actually quite excited about it. Our sales guys love it, and the new mobile applications on the iPad and now with all the Android devices is just doing terrific.
Christopher R. Reidy: It's really easy to download that. I would encourage all of you to take a few minutes to do it, because once you download it, there's a demo on there that you can just hit the button and run the demo, and it really shows you how simple it is to use. I joke that some of the HR [ph] conferences or whatever, I'll actually demo it for you that shows you how easy it is to use.
Gary C. Butler: One of the beauties of the mobile, which is true on the low end of the market, but we've also released a full mobile application for the mid market. So when an employee has one device, the beauty of ADP is that they can not only see their payroll, they can not only update their own personal advice -- personal information, but they can look at their benefits plan, they can look at their 401(k) balances, they can look at their pay card information. So in one device, you've got literally every application that any employer would want to provide its employees. So I think it's going to continue to be even better for us in the future.
Operator: Your next question comes from the line of Jason Kupferberg with Jefferies.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: I wanted to probe into new sales a little bit more, the 8% number in the quarter. I know that's about in line with where you're guiding the full fiscal year, but I believe this was by far your easiest year-over-year compare that you'll see in fiscal '12. So I just wanted to get a sense from your perspective. Obviously, understanding this metric can be a pretty lumpy on a quarterly basis, but do you see any incremental risk to the full-year forecast? Just as we think about some of the comments you've made around macro uncertainty, if you've got a little bit of a tougher macro and some tougher comps ahead, is there any incremental caution there? And then if you can just comment also in that context in terms of how you see the 8% to 10% breaking down among small, medium and large segments based on how Q1 shaped out. Has there been any recalibration of the composition of the 8 to 10 based on client size?
Christopher R. Reidy: I think a couple of things I'd want to point out. Number one, that 8% growth from the first quarter was right in line with what we are planning. So it wasn't a surprise. So the 8% to 10% for the year is solid from that standpoint. I think -- then you start going into what's going to go on with the economy from here, and that gives some variability, but we're still confident in the 8% to 10% for the year. We traditionally haven't gone through the details of the growth rates by the different operations, SBS, Majors and National Accounts, but as we talked about earlier, National Accounts is the one that has been more challenging in the first quarter after a relatively good fourth quarter, and so that's the one that's the biggest watch. We are confident particularly with the Vantage offering, but right now, I think we're pretty comfortable with the 8% to 10%.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Okay, that's helpful, and just as a follow-up on the competitive front. I think it was a couple of days ago, Intuit had an announcement of a full-service payroll solution for small businesses, partnering up with BofA there. Do you view that as any kind of incremental threat? I mean, I know the Intuit to the world in the past have been viewed more as kind of for the do-it-yourself community. It appears that this is a little bit more of a full-service solution, perhaps designed to go a little bit more head-to-head against you guys and Paychex. Any initial thoughts? I know it just got announced, but I would just be curious if you guys have a reaction there?
Gary C. Butler: Well, you have to remember that Intuit was the embedded payroll application at the BofA site that was in full service, so the -- and their desire, BofA, was to have basically one solution for clients who wanted more outsourcing versus those that just wanted to do-it-yourself through the BofA site. So it clearly made some sense for them to kind of coalesce around one application. We do similar things with JPMorgan Chase, with BB&T, Bank of the West and a number of other banks throughout the U.S., and bank referrals are about, I don't know, 10% of our sales, 8% to 10% of our new business bookings in the low end of the market. Obviously, the low end of the market is going gangbusters for us right now, so we don't see that as a huge problem or a big downside with Intuit. I'd also remind you that Intuit entered the full-service business once before and about 18 months later, they sold it to us. So we'll see, but we're doing fine in that category.
Operator: Your next question comes from the line of Rod Bourgeois with Sanford Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Gary, it sounds like your competitive position is somewhat separating itself from the pack due to the product innovations that you've put in place in recent history and some more obviously coming down the pipe. So if you agree that your competitive position has improved itself relative to the pack, is there anything you can do to help us quantify this competitive edge in terms of an improved win rate or market share? Or is there a portion of your bookings even that you could quantify is coming from the upticks that you're getting from these product innovations?
Gary C. Butler: Well, if you look at SBS, I mean, clearly our product position and the performance of the business on everything, from organic revenue growth to retention, hasn't been better in well over a decade. So we're doing great on the low end of the market. Our ASO offering, coupled with the PEO, we're doing extremely well against the competition in the PEO space. You monitor, I'm sure, the other people that are in that space, so not only our product position, but our delivery in workers' comp underwriting capability and our full bundle are certainly making a big difference there. We just come out with the third iteration, version of Workforce Now that even more tightly bundles and puts more capability, including some performance measures in the Workforce Now platform. So I think it's going to continue to do well, particularly against our traditional competitors in that space. On the high end of the market, the competition is probably a little bit more severe between Workday and Ultimate and the software suppliers who are very aggressive in terms of pursuing that space. So I think Vantage HCM, for all the reasons that Workforce Now is working in the mid market, is going to work extremely well for us at the high end of the market, and we really don't have -- when you look at GlobalView and Streamline, we are really much better positioned from a functionality and coverage standpoint than anybody on a global basis. So hopefully, it's going to push us for sales results that starts to go north of 10%, but when we get there, we'll certainly let you know, but I think our position is about as good as I can remember being, particularly with the launch of Vantage.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Is the run rate overall up in the last year because of these innovations?
Gary C. Butler: Yes.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Okay, can you put a number on that or...
Gary C. Butler: No.
Christopher R. Reidy: What it really comes down to is everything, market, win rates, et cetera, it all comes out to sales and retention, and those are the 2 key metrics that drive our business, so -- if your win rate's up, if you take the market share, if it's the right product, it's going to show up in sales number and if planned longer.
Gary C. Butler: You have to remember there, Rod, that particularly in Major Accounts in Workforce Now, we've got tens of thousands of older platform, Windows-based client-server applications out there. So our retention rate at 91% and our new sales into that base, as well as in the new marketplace to Chris' point is just not one over the other, win loss as the new deal, it's also migrating our base to a more permanent up-to-speed application.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: It makes sense. All right. Chris, just a quick follow-up on the margins. You achieved 20 basis points of year-over-year margin expansion in Employer Services, excluding the acquisition impact. Can you talk about the path and the levers involved in getting Employer Services margin expansion back to that 50 basis point level? And if you can specifically comment on whether -- now that the revenue growth is back to a healthy level, are you actually seeing that the normal operating leverage benefit in that Employer Services business?
Christopher R. Reidy: Yes. So on top of what I have mentioned before, Rod, the 20 basis points in the first quarter also has the year-over-year compare issue because a lot of the investments we made in service and implementation and sales headcount show up in the ES margin. So that 20 basis points is -- it still has a little bit of that drag to get to the full year of around 50 basis points. Don't forget that, that also has a drag in it of the acquisitions that we did in fiscal year '11. It's still a little bit there, and the new acquisitions we did had about a 25 basis point drag to the year. So that's why we brought it back down from at least 50 to about 50 was that drag. So when you look at it from that perspective, ES margins for the year and even for the first quarter are very healthy and continue to reflect that revenue growth that we're seeing.
Operator: Your next question comes from the line of Gary Bisbee with Barclays Capital.
Gary E. Bisbee - Barclays Capital, Research Division: I understand why it's getting more difficult to break out payroll versus beyond payroll, but can you just give us a sense when you look at the total base of clients today, how many or what percent or directionally, how many customers you do only for payroll versus more than one offering? Is that percentage very different on the total base of business today versus new business that you've been selling over the last year?
Gary C. Butler: Certainly, in terms of new business, we're selling a more bundled solution. So on -- for example, on SBS with RUN, our penetration right now for workers' comp and healthcare and 401(k) kind of retirement services is a lot higher, and we've got 60,000 or 70,000 customers on workers' comp product today against the base of about 400,000. So there's a lot to grow but we're selling 15%, 20% kind of additional products even at the low end of the market. With Workforce Now and Vantage, the vast majority of our new bookings new to ADP will have more than one application. Almost by definition, they're going to have payroll and HR, and in the high end of the market, 50% of our base already has time and labor. So when you sell new accounts, we're selling at that rate or higher. So certainly, it will continue to grow. I think this quarter, even though we're not officially publishing it, our payroll is up something like 3% and our beyond payroll is about 14%, so -- but as we get bigger and bigger bundles, you have to get in there and start playing an allocation game and how do you allocate to give somebody a 10% discount, which product do you put it on, so I don't want to get into a game of trying to make the number, say, what we think they ought be as opposed to reporting in a little bit more of a pure way, which I think is the right thing to do, which is why we made the decision to stop doing that as we go forward.
Christopher R. Reidy: Yes. No reason other than that for the change, because if you look at ES U.S., it was about 8% and that split is about 3.5%, 14.5%. So that's consistent with what it's been. We've been wanting to move away from that for a while. We thought now with Vantage being announced and more movements to the bundles that now is the time to do it, and so that's the real driver of that.
Gary E. Bisbee - Barclays Capital, Research Division: Yes, I understood. And then the follow-up, the RPO acquisition seems little curious to me. I guess, at this point, can you give any comments on how that fits in with the other offerings? And specifically, do you think that the purchasing manager for that, the person who's in charge of doing hiring, is the same person that your sales people are talking to, these large customers when they're trying to sell the HR and payroll product?
Gary C. Butler: The primary buyer for RPO services is the HR executive. The HR executive is also the primary buyer for benefits administration, for succession, for performance planning, for HR, and more and more is a full partner with the CFO on the payroll decision. So clearly, it's the same buyer. We have a number of standalone services, like our job tax credit services and other kind of print and distribution products, COBRA, FSA that we sell into that basis, but more and more of our business is becoming BPO-like and this is a natural extension for COS, where we are the HR department or we are the payroll department, which includes recruiting in every large company. We also bring a lot of good capability for them because they have a lot of their customers who want to go internationally. They're a U.S.-based firm today and we think there's also -- particularly as we get the recruiting bundle in the box, we think we can take it down market into our Major Accounts space for the PEO and the ASO and some of our HR services that we carry in that market but to be determined. So we're pretty excited about it. They've been growing even despite the downturn in the economy in '09 and '10, and they're clearly the market leader as you would see if you go and look at any of the press. So we're happy to have them as part of the ADP family.
Operator: Your next question comes from the line of David Grossman with Stifel, Nicolaus.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: I wonder if I could just ask a couple of quick follow-ups to what has been already asked. First is on Workforce Now. Can you give us a quick sense of what you're seeing in the marketplace? I think at last count, you had about 10,000 users, then if you -- can you give us an update perhaps on that number and give us a sense of how much of that number is competitive displacements versus existing ADP customers or new users for that matter?
Gary C. Butler: I think that number today is more like 16,000 or 17,000 in terms of people actually using Workforce Now, and it is the product we sell to all new clients in Major Accounts, so any win-losses we have would by definition default to Workforce Now. We are migrating the client base because that's typically where our competition tries to target. So we want to get them to a cloud-based solution. It's fully bundled sooner rather than later, but obviously, particularly in the mid market, we're the thousand pound gorilla in that space, so we've got a lot of accounts, which is good news to move over to the platform, but Workforce Now competes very successfully against our traditional competitors, and I'm very pleased with what's going on there.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: So I'm sorry, Gary, the 16,000 to 17,000, all of those are new users or just the new sales?
Gary C. Butler: It's a combination of both. Well, for example, in Major Accounts this year, we will sell $200 million to $250 million of new bookings, pick the number, and half of that will be, call it, payroll-related and all of those will be delivered and installed on Workforce Now. The beauty of Workforce Now is even if you only buy payroll, the whole bundle is there and you can literally turn a switch to bring on benefits or HR or performance, but there are also some migrations in there as well, David. I don't know that number off the top of my head.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Okay, good enough, but I think I got it. And then I think this was asked, perhaps in a different context earlier, obviously, the comparisons get more difficult than new sales throughout the year, but given the introduction of new products to offset that, how should we think about the flow of comparisons in new sales as the year progresses?
Gary C. Butler: I'm not sure I'm following your question, David.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Well, as I look at, I think, the comparisons for new sales get more challenging as the year progresses, but as you mentioned, you also have these new products that could perhaps mitigate that. So should we think of kind of that 8% to 10% as more or less an even flow through the year? Or do you think it will be more lumpy given the more difficult comparisons?
Gary C. Butler: I think that's a good way to think about it, plus or minus 3% to 5%, because it could be depending upon the previous year. We had some quarters last year that were well into the double-digit growth and even though the fourth quarter of last year was only up 8%, that was on top of like a 26% growth in fiscal '10 as we turned that corner. So you're going to get some of those swings particularly in the fourth calendar quarter or when we land big deals in GlobalView or COS, but I think that's a good way to think about it.
Christopher R. Reidy: Yes, I don't think you're going to see anything dramatic, and so you're not going to see 0% and 20% in 2 different quarters going forward. It's going to be relatively consistent. I don't think it's going to be more for...
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Okay, good. And just one last question, can you share with us, just sort of update us if you will, on both the pricing assumptions and your tax rate for the year that are embedded in your guidance?
Christopher R. Reidy: Sure. On the pricing, we were just about under 1%, which is I think what I said on the last call, and with that's played out given net pricing, and that's fairly consistent with what we've seen over the past 2 years. If you go back to my 5-year plan presentation in May, we said that the first couple of years would be closer to 1% and the last couple of years would be back up to 2%. We still believe that, that 1% to 2% was achievable going forward, but given this economy, we think 1% is appropriate. And as you know, the interplay is with retention. It's something that you watch very closely and we've been very pleased with the way the retention number is moving. So it feels about right to us. In terms of the effective tax rate, I would say that the effective tax rate for the year would still be in the area of 35%, maybe a tick below that, but that's still what I would use in modeling going forward.
Operator: Your next question comes from the line of Joseph Foresi with Janney Montgomery Scott.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: I wonder if you guys could just talk a little bit about the shifting client behavior as we kind of run through this economic cycle. I think it would seem intuitive that maybe the HRO offering might gain steam and some of the other offerings that are maybe more software-based just because, in this particular environment, people may not want those extra cost. Maybe if you can just talk a little bit about that, what you're doing within the sales force to address it.
Gary C. Butler: Well, it's not only just cost, it's also compliance and dealing with Washington. I mean, the ultimate HRO or BPO for us is the BEO, and our sales for multi-years now have been strong double digits, and we expect them to continue to be very strong going forward, but a lot of that is compliance-driven, a lot of that is healthcare and workers' comp driven in terms of the cost of healthcare and that kind of thing, but clearly, a large percent of our new sales in both National Accounts and in Major Accounts includes an HR services kind of offering, and we expect that trend to continue, but part of it is compliance and part of it is just cost and ease-of-use and just getting rid of the whole thing.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay, and then my second question is on the National Accounts level. I know you've talked about it a couple of different ways, but I wonder if you could just talk a little bit about any potential changes in the competitive environment at that level and how you see that sort of playing out and what you're doing to address it, if there are any.
Gary C. Butler: Well, I think it's clearly going to make us more competitive against our traditional suppliers. That market has also moved a lot closer to things like performance and succession planning, which is what's driving some of the success of some of the other competitors in that space. So our model now, Vantage, has a full performance and succession modules to it. It has full benefits. You can buy it as a service. You can buy it as fully outsourced. So I think it's clear you're going to make it more competitive because that market has moved more to the performance and the succession kind of issue than what it historically was in that space.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: And just one last one, if I could sneak it in. As you look to the software compared to the services component, how do you see both of those trending going forward? And what could that potentially do to the sort of the overall profile of business? Do you think that consumers are going to lean more towards a software away from the services? Or how do you see that balance playing out over time?
Gary C. Butler: I don't see any big shift than what's been happening in the last 5 or 6 years. I think the big shift that we saw early on, and you have to go back 7, 8 years and 9 years was when Oracle bought PeopleSoft and there was a lot of uncertainty of where that platform was going, but between Lawson and Oracle or PeopleSoft, which is one and the same, an SAP, which is also our partner, I don't see a lot of big changes today versus what was there before. Some of them are leaning towards offering software as a service as opposed to just software, but all of our products are delivered in the cloud, software as a service, too. So it's kind of one and the same.
Operator: Your next question comes from the line of Nathan Rozof with Morgan Stanley.
Nathan A. Rozof - Morgan Stanley, Research Division: Gary, I wanted to follow up with you real quickly on the comment you made earlier about some reluctance to commit at the high end of the market, in particular how we should think about that in the context of the 2012 budgeting cycle. So my question then for you is, are our clients giving you any indication that they may be more willing to spend in 2012 or any milestones that they're pointing towards in terms of when they think they'll be more comfortable moving forward with longer-term deals as so that we can continue to see some acceleration in the organic growth rate?
Gary C. Butler: Well, we're not seeing reluctance to spend in Major and in certainly not SBS or the PEO, the multinationals and the National Accounts environment, because of the uncertainty in Europe. Some of the uncertainty here are expanding less in terms of pays. If you look at our pays per control, the slowest -- the least amount of growth is at the high end of the market and the most amount of growth is in the middle and the low end of the market, and I think it's kind of indicative of what their spending patterns are. Now I think there's still a lot of reluctance today. If you put -- just think about GlobalView for a minute. As the upfront investment on GlobalView is in terms of the conversion, it's generally equal to at least a year's revenue where it's a recurring revenue going out. So people like Chris Reidy don't want to pony up to multimillion dollar kind of investments with the uncertainties going on around the globe, and so I think that's part of the reluctance. I think there's some pent-up demand in our space waiting on the Vantage release, which hopefully will open up as we go forward, and that's pretty much the way I see it.
Christopher R. Reidy: I think when you look at the overall cycle, looking at it from my chair after the downturn that we went through over the last few years, you've gotten all the cost you can out of the business, sans investing to take further reduction in efficiency. So at some point, in that cycle, that changes and you've got to invest to get further efficiencies. It's just that with the economy today being questionable as to where it's going, I think there's a confidence level, and we track a lot of the surveys, either at the CEO level or at the CFO level, of their confidence and where the economies is going, and I think there's still a lot of lack of confidence and that certainly comes into the equation. So over the cycle, I think that turns around, but it hasn't turned around yet.
Nathan A. Rozof - Morgan Stanley, Research Division: Okay, that's very helpful. And just for my follow-up, you guys mentioned GlobalView. You clearly have been making a lot of investments in moving towards fully bundled and SaaS-based solutions, which seems to be paying off. I was curious whether or not we should expect to see GlobalView moving towards more of that type of a model also if there's any better products left for the year and going to be continuing to make investments or moving in that direction?
Gary C. Butler: Well, we are moving -- we've moved GlobalView to the most current version of SAP's HCM today, which is delivered through a hosted solution in the cloud. It's not a real-time payroll like RUN because you're talking about very large accounts here and in multiple countries around the world. We're also releasing a new portal that will be put on the front end of our GlobalView module, which will make it a little bit more user-friendly and also consistent with our UI guidelines that we have across all of our other products, including Vantage and Workforce Now. So we're clearly making those kind of investments. We're doing payroll now in over 40 locations on GlobalView and our Streamline network really opens it up, where we have the capability for smaller payrolls in over 50 countries around the world. So we're making progress. We just wish -- we'd sell even more than we're selling.
Operator: Your next question comes from the line of Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar - Citigroup Inc, Research Division: So my question is, in general, as ADP transitions from -- over time, from selling single products to selling product suites or bundles, how do you think that will affect such things as your historical pricing power that you had or the way your sales force is structured. I mean, clearly, it seems better for retention to have more hooks into the client, but could you comment on those 2 factors?
Gary C. Butler: Excellent question. Two things that -- other than great service, which we always focus on, larger clients who buy more products stay the longest at ADP. So in Europe, we're approaching 96% retention in National Accounts. We're at like 95% retention. If you go to Dealer there at 94%, 95% retention. The one exception to that, even though it's a lot better than it's been, the PEO, where you're in, call it, 83%, 84% kind of retention levels, but the big swings in healthcare cost and benefits can really drive what happens in that space and you can clearly see that in our competition. One of the big challenges that we have as a company as we sell bigger bundles is making sure that our sales force and our service force is capable of servicing HR needs, benefit needs and performance planning kind of needs in addition to just being payroll experts. So one of the things that we've really focused on at the rollout of Vantage is training up the sales force on becoming more HR-centric as opposed to being just payroll-centric, but clearly, it's a change for ADP's ecosystem. But I would remind you also that of our 550,000 clients, 400,000 of them are still SBS clients and it's still primarily a payroll service with some HR help and compliance even though a lot of them do buy a 401(k) or an IRA or workers' comp from it.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Okay, got it. I understood. And on the RightNow [ph] acquisition, how big is it? Is it material to next year's growth?
Gary C. Butler: The right saying is the $70 million, $75 million right in terms of revenue this calendar year. RightNow [ph], they've got good double-digit kind of revenue growth in the business. So we think that's going to continue at least for a while, and I think that should give you what you need.
Christopher R. Reidy: And as we said, Ashwin, that's why we adjusted that guidance for ES revenue up a tick, was for that acquisition.
Operator: At this time, we do have time for one or two more questions. Your next question comes from the line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Just a follow-up on Nationals question on The RightThing, in the RPO space, I guess, is this the beginning of more investments in the RPO space and also, what's the margin profile of that business in general? I always thought it was a little bit lower margin.
Gary C. Butler: It is a little bit lower, Tien-Tsin. We're obviously not going to give full margin history for those banks, but clearly, there is a larger manpower component in that section. But it's still pretty strong, double-digit kind of bottom-line margin. It's not as great as pure payroll, but it's still pretty good, and as, I think Chris mentioned, it still will be accretive to earnings this year despite the intangibles and the loss of interest income. So it's decent.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Should we expect more on the RPO space in terms of acquisitions, Gary? Meaning, is this plan formed enough to go forward to what you want to achieve there?
Gary C. Butler: Well, I think we're really more focused on making them more successful in the ADP client base and internationally and trying to figure out how we take that product set further down market in the box, because we got a huge growth in our BPO offerings in Major Accounts and the PEO. In addition, we've got great market share at the high end of the market. So we think having ADP's AAA and our payroll expertise coupled with our COS capability and our international reach, it's going to be a real help for these guys as they try to grow the business faster.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Understood. It makes sense, and just a follow-up to some of the discussion earlier on innovation. I'm just curious. Our new competitors like, you mentioned, Workday, Gary, I guess, Ultimate have pretty strong bookings last night. Are those competitors really pushing you to invest more in some of these new products? Or are you just responding to what you're seeing on the ground in terms of what your customers want?
Gary C. Butler: Tien-Tsin, competition is good because it keeps you on your toes. So I think certainly, if you take things like Workday, I mean, we partner with Workday. We compete against Workday depending on what the client has. Certainly, Ultimate's success is certainly -- but even more focused for us on things like Workforce Now and Vantage, but what we're really trying to do more than just respond to a competitive situation because the 35 years I've been here, there's always been competition and they continue to cycle through, and the one constant has been ADP's success, but what we're really trying to do, and a real kudos to Mike Capone and his IT organization for us, is we are trying to create more pull for our sales force as opposed to just raw push by putting more feet on the street. And the way you do that is by having market-leading products. It pulls our clients to ADP. So whether it's the new UI, the Mobile Solutions, the software as a service, you get 5 applications as opposed to one at one place, but we're really trying to push innovation to drive marketplace pull for ADP.
Christopher R. Reidy: And we've got the distribution system. We've got the history of service. You put dual products in the hands of our sales people, that's a great combination.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: That's a good color. Can I ask a Dealer question?
Gary C. Butler: Sure.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: I figured I got to ask a Dealer question just for you, Gary. Obviously, it's still growing the double-digit bookings there. You guys are executing really well. I know you have some exposure to Europe and some of these other regions. Any risk of some of the bookings slowing there on the Dealer side? Or is it the products really driving the demand there?
Gary C. Butler: I think there is certainly some risk in the European side, but we did find there last year and that risk was there last year. We've got a new release of our Autoline product that's being rolled out now. There's a number of OEMs that are making systemwide decisions, fairly significant decisions there, and we really focused on the high end of that space in terms of large dealer groups. They're continuing to move forward, and most of the difficulties around the small European-based dealers. So I think there's certainly going to be pressure, but I think we're okay and it's not new pressure versus what we've seen in the last 12 months.
Operator: Your final question comes from the line of Mark Marcon with Robert W. Baird.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: I was wondering if you could talk a little bit about what the margin implications are as you broaden out the suite. The RPO offering certainly makes a lot of sense with VirtualEdge and with advert, but the margins are lower. So are you going to broaden out a little bit more in there? Or how should we think about the long-term margin profile in ES?
Gary C. Butler: I think what you got to look at is the combination of things. One is clearly the more we sell the established products. As long as you've got good growth in payroll and HR that have established good margins, that's going to be the biggest driver, and then once you have a product in your portfolio, it's driving them to improve their margins, and as they do that, it keeps the overall margin good. I mean, our payroll and HR margins are well above our average margins in ES and across ADP for that matter. So as long as you've got good growth there, you're fine with the mix, and as long as you’re taking products like GlobalView up the margin chain, that helps as well. Obviously, you want to continue to invest and invest more, which puts a little bit more pressure on the margin. That's why we do things, like more smart shoring and offshoring and facilities consolidation and that kind of things. So there's a lot of different levers. Clearly, mix is something that we focus a lot on, but if you can drive good growth in your established core business, that gives you a lot of flexibility on the margin.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great, and then can you just talk a little bit more about the rollout plan for Vantage? Demo-ed it at HR Tech. It looks really good, but how quickly could we expect the sales force to actively engage, thinking about sales cycles and when you should start actually seeing wins?
Christopher R. Reidy: Well, now. Right now, we have one client that's live. We did this on a pilot basis, obviously, and we have a handful of other clients in implementation, and we have quite a few prospects as well. So we're already seeing the traction, and so we're encouraged by that.
Gary C. Butler: The other thing, Mark, is we've taken Workforce Now and rolled it up into the low end of National Accounts. So the clients in the 1,000 to 3,000 employee space, they have a choice now, either Workforce Now, particularly if they have less complex needs. Workforce Now may actually be a better choice for them than Vantage going forward. So the whole sector of National Accounts now has fresh product, both for large account, as well as for smaller national account.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great, and so by the time we get to the third and fourth quarter, that's when it should really start kicking in.
Gary C. Butler: That would be the plan.
Operator: At this time, I would like to turn the call back over to Gary Butler for closing remarks.
Gary C. Butler: Again, just in closing, we were very pleased with the quarter, sales and retention results being up, great revenue growth, some good acquisitions, and I think a lot of this call really demonstrated the point of the big progress we've made on the product side around innovation and winning in the marketplace and creating pull for our products. So we're confident in our forecast and look forward to talking to you next quarter.
Operator: This concludes today's ADP First Quarter Fiscal 2012 Earnings Webcast. You may now disconnect.